Operator: My name is Molly and I will be your conference operator today. At this time, I would like to welcome everyone to the Garmin Limited Third Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question and answer session. If you would like to ask a question during this time simply press * and the number 1 on your telephone keypad. If you would like to withdraw your question press * then the number 2 on your telephone keypad. Thank you, Ms. Schwerdt you may begin your conference.
Polly Schwerdt, Manager, Investor Relations: Thank you, good morning. We would like to welcome you to Garmin Limited's 2006 Third Quarter Earnings Call. Please note that a copy of the press release concerning this earnings call is available at Garmin's Investor Relations site on the Internet at www.Garmin.com/stock. Additionally this call is being broadcast live on the internet. Please note that this webcast does include slides, which you can view during this call. An archive of the webcast will be available until December 1, 2006. A telephone recording will be available for 3 business days after this call, and a transcript of the call will be available on our website within 48 hours at www.garmin.com/stock under the Events Calendar tab. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market shares, product introductions, future demand for our products and our plans and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K for the fiscal year ended December 31, 2005, filed with the Securities and Exchange Commission. Attending on behalf of Garmin Limited this morning are Kevin Rauckman, Chief Financial Officer and Treasurer; Cliff Pemble, Vice President of Engineering, and Andrew Etkind, General Counsel. The presenters for this morning's call are Kevin Rauckman and Cliff Pemble. At this time, I would like to turn the call over to Kevin Rauckman.
Kevin Rauckman, Chief Financial Officer and Treasurer: Good morning everyone. I would like to quick start the call by saying that our Chairman and CEO, Dr. Min Kao wanted to join us for the earnings call today but has recently experienced death in the family and will not be presenting today, though the agenda for this morning would be: I will walk us through a business update, hand it off to Cliff. He will go through a product update and then outcome back and go over the financial results from the third quarter. As you saw from the press release this morning, Garmin just finished another record third quarter. Both our total revenue and earnings per share exceeded our expectations. Revenue was up 62% year-over-year and our earnings per share excluding effects of foreign currency were up 52%. Over 1.2 million units were shipped in the quarter, up 73% from the same quarter in 2005. Our PND units alone grew nearly 200% during the quarter compared to the third quarter of 2005, and we are clearly pleased with the size of this increase in volume during the period. This raised our total units to over 17 million units shipped to date, the highest number of any consumer GPS provider, and I think it speaks to the strength of our Garmin brand. We also delivered eight new products during the quarter and are on track to meet our goal of 70 new products in 2006. As we have seen in the past, 61% of our third quarter revenues were generated from products released within the last 12 months, which again demonstrates the strength of our new products. And on the employment level, our worldwide employees increased to nearly 4300. We now have hired over 1250 associates during the year, and we still need to hire more to support our ongoing growth in the business. Moving next to operational highlights, we did experience price compression on existing PND products, but much of this was offset by favorable product mix. Channel sell-through continued to be very strong especially in North America, and as a result of the increased demand from our dealers and distributors, we have experienced some backlog on certain high volume PND products, and have begun to ship these orders in high volume during the month of October. We are also pleased to report that our second Taiwan manufacturing facility has been up and running smoothly since the end of May, and we now have a total of 20 production lines in our Taiwan facilities and are able to respond quickly as fourth quarter holiday season demand increases. Also, because we anticipated an increase in our unit demands during this holiday season, we’ve managed our supply change effectively and do not anticipate any significant component shortages in the upcoming quarter. We have recently completed the purchase of our new European headquarters and distribution center and are upgrading our facility currently for a planned move in during the first quarter of 2007. As many of you probably saw a few days ago, we recently promoted Dan Bartel to VP of Worldwide Sales and Managing Director of our U.K. subsidiary. With this announcement, we hope to leverage Dan’s knowledge of both the Europe and U.K. markets, capitalize on his technical expertise and distribution channel strategies, and strengthen the overall management leadership in Europe for his unique understanding of our dealers and distributors in both North America and in Europe. I would like to review some highlights from each of our core business segments. First, the automotive/mobile business, the auto business experienced another quarter of strong growth of 147% driven by the strong sales of PND products introduced within the last year. According to independent market research, Garmin has increased our PND market share in the U.S. to nearly 60% by the end of the third quarter. And in Europe, independent research confirms that Garmin has now achieved a strong number two position in the overall market. We believe that we are well positioned for future improvements driven continued focus on both advertising and marketing efforts combined with our strong product portfolio. The recent partnership with Hyundai highlights the continued acceptance of our popular nuvi product around the world. With its recent announcement we now have an additional 700 points of sale in North America. In response to our strong growth and positive outlook for this segment, we have again revised our growth expectations for 2006 from 125% growth up to a minimum of 140% growth in the automobile segment. Our outdoor fitness business was also in growth mode at 22%, driven by continued strong sales of the new products introduced this year. We believe Garmin has established itself as the leader of GPS-enabled devices in both running and cycling markets, and we will continue to increase our R&D and marketing efforts to grow these new markets. So, in response to the continued strength within this segment, we maintain that we will be able to achieve at least 20% growth from the segment for the full year 2006. Moving next to the marine segment, our marine segment was up 12% during the quarter. As many of you know, the third quarter is typically our weakest marine quarter during the year, but we did see improvement this year due to the positive response for new product offerings that were introduced earlier in the year. We continue to believe that the marine segment is on track to meet our 2000 guidance of at least 10% revenue growth for the year. The aviation segment experienced another quarter of softness due to slower OEM production and the delayed introduction of certain retrofit products. However, we are pleased to report that our 430 and 530 WAAS and GMS 200 products are on track for fourth quarter introductions. Cliff will provide more detail on these products during his remarks. Additionally, we announced several exciting cockpit products and a new portable GPSMAP 496 product at the Oshkosh air show. We expect to deliver the G600, G900 and the G1000 cockpit for kit plane playing in the summer of 2007 and anticipate significant long-term growth potential from these products. As a result of the 1% growth in this aviation segment year-to-date, we have revised our 2000 revenue growth guidance from 10% growth to flat on a year-over-year basis. However, we do remain very optimistic about the long-term prospects for our overall aviation business. As we look forward, we are optimistic about the remainder of 2006 and the year 2007. The total market for PND product is projected to at least double during 2006. We also agree with independent research that indicates strong PND market growth will continue throughout 2007. With our current product portfolio and standard marketing and advertising campaign, we feel that we are well positioned to take advantage of this large growth opportunity. Garmin continues to invest heavily in R&D as is evident in nearly 200 engineering associates that we’ve added during this 2006 fiscal year, and we now expect to spend over $115 million in R&D across our four business segments. As a part of our standard branding campaign, we’re just days away from the November 11th grand opening of our new retail store on Michigan Avenue in Chicago. This destination store would be the only retail space of its kind dedicated to giving customers a comprehensive GPS experience. We welcome all of our shareholders and friends to come visit this exciting showcase during the upcoming holiday season and into the future. And finally based on our year-to-date performance and the strong demand for our products, we are increasing our outlook for the year. With that, I would like to turn the call over to Cliff Pemble, our Vice President of Engineering, who will present a product update, and I will return later to discuss financial results and updated 2006 guidance.
Cliff Pemble, Vice President of Engineering: Thank you, Kevin. To start today’s product update I wanted to provide an overview of our overall automotive product portfolio. Garmin offers the most comprehensive lineup of automotive navigation solutions available on the market today, and we offer products with a broad range of price points and capabilities. According to NPV, our C330 continues to hold its position as the number one selling PND in the U.S. market. In addition, our nuvi product line continues to set standards around the world for form factor elegance, ease of use, and desirable features. We offered Bluetooth handsfree capability across a broad range of our products, and we have established a leadership position in delivering real-time traffic information to our PND devices. In summary, we feel that Garmin is well positioned to offer a product for every customer going into the holiday selling season. During the third quarter, we introduced an all new product to our nuvi family, the nuvi 660. The nuvi 660 sets a new standard for elegance and capability. It features a larger, brighter display and new features such as an integrated traffic receiver for avoiding traffic jams. In addition, the nuvi 660 includes a built-in FM transmitter which allows users to hear directions, audible books, or MP3s over the car’s audio system. The nuvi 660 was simultaneously launched in both the U.S. and Europe and we were able to quickly deliver units to fill retail channels. The feedback we have been receiving on this product has been encouraging, and we believe it will be a strong seller in this holiday season. I also want to provide an update on the Zumo, which was introduced at the MotoGP event in July. While other competitors have introduced products targeted at the motorcycle riders, the Zumo is the first product designed to meet the stringent environmental requirements of the motorcycle market. Using our expertise in recognized product design, we created an appealing product that also passes stringent requirements for vibration, aperture, waterproof, and exposure to fuels. In addition, our unique user interface provides a better solution for operating the product with gloved hands. The Zumo has all the great features of our PND products, like preloaded maps, Bluetooth headset and handsfree operation, and compatibility with real-time traffic solutions. In addition, it comes out of the box with mounting solutions for both the motorcycle and the car making it the more versatile motorcycle product available. Good news is that we completed development for the Zumo and have started mass production, and we anticipate the products will arrive at dealers in the very near future. Turning next to marine, we started deliveries of our GMR 404 and 406 during the third quarter. These new radar scanners offer stunning performance of value featuring a 72 nautical mile range and incredible target resolution. Like all of our radars, the GMR 404 and 406 perform all of the display processing within the scanner units, and the results are transmitted over our marine network to the chart plotter. Our chart plotter software is designed to fully integrate radar information into the user interface providing overlays on chart data as well as split-screen operations allowing the user to see separate radar and photography presentations. Introduction of the GMR 404 and 406 raises the visibility of Garmin within the marine market and will open doors to new opportunities for our marine network system. During the third quarter we also introduced the GPSMAP 278 which targets the European market by offering pre-loaded street maps of Western Europe. Customers can then add detailed charts of waters in their own region using our pre-programmed BlueChart data cards. For 2007 we will be introducing an exciting line of all new chart plotters and fish finders and radar units. More details would be provided at the upcoming next marine trade show in Amsterdam. Turning next to Aviation, I have good news to report regarding our effort our provide WAAS navigation into our GNS 430 and 530 product line. We’ve completed all the required TSO testing including software validation and we have submitted all of the required paperwork to the FAA for approval. Flight testing is scheduled to begin earlier this month and we anticipate all certification activities will be wrapped up by the end of this month. While we cannot precisely predict FAA approval times, we are grateful for the high level of support that the FAA has provided thus far and we anticipate a successful conclusion to the certification activities in the next few weeks. I also have good news to share regarding the Mustang VLJ program. As many of you know, tests are repeated, typed certificate for the Mustang which includes a full function G1000 avionics system. The Mustang will be the first production aircraft delivered with WAAS capability. In addition, the Mustang will be the first VLJ with fully integrated flight controls enabled by our GSP 700 flight control system. It’s been a privilege to set down this exciting program and we look forward to success in this dynamic new market for jet aircraft. Finally, during third quarter, we delivered the GPSMAP 496 to the portable aviation market. This product truly raises the bar for portable aviation products. It is the first of its kind to offer preloaded street maps for either North America or Western Europe and the package includes both aviation and automotive mounts which allows the user to easily move the product from aircraft to automobile. In addition, the GPSMAP 496 offers exciting new contents for the aviation market including an AOPA Airport Directory and enhanced high resolution terrain database and our exclusive Garmin SafeTaxi Chart which will provide enhanced and situational awareness for pilots navigating on unfamiliar airfields. That concludes are product update; Kevin will now present the detailed financial results.
Kevin Rauckman, Chief Financial Officer and Treasurer: Thanks Cliff. First of all in consideration of our August 15th 2-for-1 stock split, I want to mention that all of the share amounts I’m going to present today are the post stock split basis. So, I’m moving to the third quarter financial summary. The revenue we achieved is $408 million as I mentioned, net income of $123 million and earnings per share during the period of $0.50 per share. This drove a 62% top line growth and 52% earnings per share growth when excluding the effect of foreign currency. In this third quarter time period, we did experience a $0.06 EPS impact due to more currency gain during the third quarter. Looking at gross margins, our gross margins came in at 48.8% which was better than expected due to price erosions during the quarter offset by reduced product costs and favorable product mix. Our operating margins were nearly 30% which is down from last year but better than expected and a change year-over-year was caused by a gross margin of 270 basis points, unfavorable. SG&A was unfavorable by about 200 basis points, and our R&D expenses were favorable by about 50 basis points. SG&A was much lower than second quarter ‘06 due to reduced advertising during the period, and Garmin typically invested heavily in TV ads during the June and December quarters, and we’ll talk a little bit more about that later. We did ship over 1.2 million units during the quarter. Our average selling price during third quarter was $332 per unit, which is a 2% reduction from the second quarter of $338. Looking next at our segment revenues, we experienced double digit revenue growth within marine and outdoor fitness segments and triple digit revenue growth across the automobile segment. Automobile revenue grew nearly two and half times the third quarter of ‘05 on the strength of our nuvi and C series products, and the total PND unit volume nearly tripled year-over-year during the third quarter. Within the automotive mobile segment, our year-to-date growth is now 168% and we expect a strong fourth quarter due to much higher holiday selling. The outdoor fitness segment continues to exceed expectations as this segment is up 22%. Our marine segments grew 9% year-to-date. Overall, our revenues on a year-to-date basis have grown 64%. As I mentioned earlier, the sales of our products within the last 12 months on new products accounts for 61% of our third quarter revenue. Because of the explosive PND market, our automotive mobile segment now represents 59% of our total business growing from 39% of the total a year ago but very similar to our second quarter results this year. Within the automotive mobile segment, our North American market contributed more than Europe due to the typical quarter-over-quarter decline we experienced in Europe during the third quarter. Garmin Europe and North American market growth were nearly equal with North America representing 65% of our total revenues and Europe representing 29%, very similar to the third quarter of 2005. Looking next at the geography, revenue by geography; our North American revenue was up 62% during the period while our European business increased over 59% during the third quarter. Our Asian sales also grew 84% during the period. So, all three of our geographic regions have grown 50% or greater on a year-to-date basis and through the third quarter we have now exceeded 2005 total year revenue as we recognize nearly $1.2 billion in revenue year-to-date. Looking next at our margins by the four segments; our third quarter aviation gross margins declined from 66% to 64% as expected and our aviation operating margins declined from 39% to 32% due to larger R&D costs as a percentage of sales. Our third quarter outdoor business gross margins declined from 60% to 56% due to unfavorable product mix and lower component cost reductions during the quarter. The operating margins also declined from 45% to 41% in line with gross margin change. Third quarter marine gross margins declined from 60% to 53% due to unfavorable product mix and certain price changes as we anticipate new marine product introductions in the upcoming month. The operating margins within this segment also declined from 42% to 34%, in line with the gross margin change. Our third quarter automobile gross margin remains flat at 42% for the third consecutive quarter beating our expectations. Favorable product mix helped sustain margins as we sold more units in North America where our gross margins are higher relative to Europe. Operating margins actually increased during the third quarter by 150 basis points up to 25% of sales as we spent less on advertising during the third quarter. With the exception of our automobile segment, we expect our short-term margins to be relatively stable despite the possibility of quarter variability due to product mix and the timing of new product introductions, and I think you saw that during this third quarter. We do, however, expect that our automobile segment will experience declining operating margins due to reduced pricing in a continued transition towards mass market levels. Looking next at our operating expenses; the R&D investment during the quarter increased nearly $10 million year-over-year in absolute dollar terms but was down 50 basis points 7.5% of sales. We’ve added over 200 engineers during the 2006 timeframe and now employ over 900 engineers and engineering associates. We decreased our advertising expense to 5.7% of sales compared to 7.7 in the second quarter 2006, but this reduced ad spending was still $13 million more than a year ago quarter. The other SG&A increased 90 basis points to 5.9% of sales from 5.3% a year ago and we continue to expect that our overall operating expenses in total will come in at approximately 19% of sales for both the fourth quarter this year and the full year 2006. We continue to see improvement in our balance sheet. Our cash increased to $888 million at the end of the third quarter. Our accounts receivable decreased to $250 million due to slightly lower revenue and accounted for approximately 62 days of sales. I’m sure you all saw that our inventory dollars were up $106 million over the second quarter and our days of inventory metric increased. At the end of the third quarter, we now hold 117 days of inventory, up from 91 days in the second quarter. Breaking our inventory down by type of inventory, we ended the third quarter with $85 million in raw materials which is 42 days of inventory. We ended third quarter with $47 million in our work-in process, which is 16 days of inventory. And our finished goods increased up to $110 million or 59 days of inventory. And we also went out of the quarter with $14 million in inventory reserves. Increase in both raw materials and finished goods was planned as we prepare to the respond to increased customer demand during the seasonally strong fourth quarter holiday season. Retail channel inventory appears to be lean and sell-through of most products is strong during the third quarter. And also looking at cash flow, we generated strong cash. Our cash flow from operations during the third quarter was $116.8 million. We got $18.9 million on CapEx during the quarter and our free cash flow generated during the third quarter was $97.9 million. Cash flow from investing was $89.21 million use of cash which is made up of roughly $90 million on CapEx and $70 million of net purchases of marketable securities. Our cash flow from financing was $49.4 million use of cash, which is primarily caused by the $50.4 million use of cash related to our stock buy back plan as Garmin was buying back our shares in the market during the third quarter. And from a return on cash, we earned an average of 4.5% on all cash and marketable security balances during the third quarter. Just a couple of comments on tax rate and FAS 123R; our expected tax rate remained at 15.5% as expected and we anticipate that this rate will continue throughout the 2006 timeframe. It is required by FAS 123R that we expense $3 million during the quarter as compensation expense due to the fair value of our shares within our stock option and stock purchase plans. The $0.01 EPS impact was expected and we now forecast the full year impact to be $0.04 per share for FAS 123R. Finally, in conclusion, we want to go with the updated guidance. As you saw, we remain optimistic about the future success of our business and now expect at least $1.68 billion in revenue during the fiscal 2006 with double digit growth across all business segments except aviation. We’ve also increased our EPS outlook up to $2.08 excluding the $0.04 impact for the expensing of stock options. Again, this is a 52% growth rate over 2005. We’ve also increased our revenue guidance for the auto/mobile segment up to at least 140% growth for 2006. Our revenue growth expectations for the outdoor fitness and marine segments remain unchanged at 20% and 10% respectively, but we have reduced our aviation revenue growth expectations down from 10% to 0% for the year. We still expect to spend $85 million of CapEx and have seen $45 million invested year-to-date. For the remaining $40 million of capital expenditures comprises of approximately $30 million for our U.K. headquarters facility and about $10 million of maintenance CapEx across our business. We also see stable split outstanding share count at about 219 million shares. That concludes the overall formal presentation. At this point, as is customary, we’d like to open up for Q&A, and there is a Q&A line. Please enter that queue.
Operator: At this time, I would like to remind everyone, if you wish to ask a question, please press * then the number 1 on your telephone keypad now. Your first question comes from John Bucher from BMO Capital Markets.
John Bucher, BMO Capital Markets: Thank you, John Bucher. Question for you Kevin on the automotive mobile arena; margins actually went up year-on-year to 25% and you indicated that short-term you expect them to be stable, and I think you attributed that to lot of advertising and more pronounced mix towards North American market on a sequential basis, but then you said you do expect declines in ASP and then future pricing pressure to cause overall margins in this category to come down. And I’m just kind of wondering, you’ve got a year-on-year positive comparison on operating margins and yet you’re expecting them to come down, didn’t you experience some ASP erosion annually from 2005 to 2006 and why should they come down, are you expecting just a heightened amount of ASP pressure, just curious so that you can kind of elaborate a little bit on the expectations for declining margins.
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah, I think to a couple of your points, definitely the ASPs year-over-year third quarter to third quarter have come down and we’ve been talking about this. We have been able to benefit through most of the year on reduced component cost for raw materials, so that’s offset a lot of pressure just on overall price. But I think as we go forward typically we see in the holiday season a lower ASP depending on the product portfolio and what’s available on the markets. So, we are expecting the 42% rates to come down in the fourth quarter. And the other factor is we expect the European market to grow relative to the U.S. market. So, we had a higher percent contribution of our auto/mobile in the North American market in the third quarter, but that will slightly switch and we will have more European contribution. So, I think those couple of factors we do expect that the 42% will come down during a very high growth revenue season.
John Bucher, BMO Capital Markets: I don’t want to extend your horizon beyond what you’re prepared to talk about today, but is that what you expect for the fourth quarter, do you think that’s going to continue on into ’07, or could you potentially have a scenario where just like the third quarter ’05 to third quarter ’06 trends were positive, that you could have a scenario like that in ’07 as well?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah, I really don’t want to give specifics other than to say that in general we would expect in this very competitive market that pricing will come down. It’s very hard if somebody is moving parts in a gross margin scenario, and I think you can appreciate even the amount of competition that’s changed in the last three to six months, who’s in and who’s not in, but in general I would say we’re not going to see the margins go up. They should stay flat or come down as we go forward into ’07.
John Bucher, BMO Capital Markets: I’ll ask one more question and then get back in the queue. With respect to the aviation WAAS upgrade, so that could start in December it sounds like, and the way to think about that, there would appear to be two components to that WAAS upgrade: number one it would appear that there is some 430 and 530 customers that maybe delaying the purchases of their avionics stacks based on the availability of WAAS, so there is a potential lift there. And then number two, you have this retrofit, this huge install base of existing 430 and 530 users that are going to be sending in their avionics units for upgrade, and it looks like that should be probably something around $5 million a quarter or so over the next 18 months, something like that, is that the right way to think about the impact of WAAS on aviation?
Cliff Pemble, Vice President of Engineering: Yeah, John, the two components you outlined are correct. We are hearing from the field that customers are waiting to purchase in order to get the WAAS unit installed in their airplane, and we do have a sizable amount of interest in the upgrades that we’ve offered for existing units.
John Bucher, BMO Capital Markets: Then, is that $5 million of quarterly revenue about right for the retrofit of existing units?
Cliff Pemble, Vice President of Engineering: I don’t think we’re prepared to comment right now on the exact numbers, we don’t have that in front of us.
John Bucher, BMO Capital Markets: Okay, thank you.
Operator: Your next question comes from Ben Swinburne from Morgan Stanley.
Ben Swinburne, Morgan Stanley: Thanks, good morning guys. Kevin, I wanted to ask you o n the PND market as it’s trending in the fourth quarter and how you’re looking at product positioning versus your competitors. It seems like Europe has become a lot more competitive on the pricing side and maybe retail outlets do a poor job, I was explaining to customers why they should buy one device over another, how do you see in the U.S. and Europe — maybe if you can specifically on each — how your products are positioned from a price value perspective today versus your main competitor, TomTom, do you expect if prices stay where they are, which I would argue if TomTom1 sells anywhere from $100 to $200 discount to the nuvi product, is that the right comparison from a products perspective, and if you are faced with a decision of sort of keeping prices where they are and seeing some share, does that maximize your earnings in the fourth quarter and going out into ’07 or do you believe the elasticity is really what you should be focused on, so you would look to bring prices down to grow out the volumes, any color on those issues would be great?
Kevin Rauckman, Chief Financial Officer and Treasurer: A couple of points first, we’ve already taken price backs in both North America and Europe as we’ve entered the holiday season, and we’ve planned on that, and that’s one of the reasons which we’ve commented on what the overall margins are going to be. Relative to TomTom and all competitors in general, I think we’re priced in the U.S. market pretty similarly. In Europe, I think in the past we may have been a little bit above given some of our recent pricing actions, we are getting closer to our competitive pricing there. I think the other thing we’re really expecting is an increased branding through TV ad campaigns and we’re entering into both the U.S. and Europe. That’s going to help I think build the Garmin brand and awareness of the overall technology. You asked about elasticity, if we get to choose one versus the other we do view this market as very elastic, so if the price comes it drives volume and we’ve been pretty open to those types of trends in the market to be able to drive topline growth.
Ben Swinburne, Morgan Stanley: Do you see the TomTom1 as a product on par with the nuvi so that they should be priced similarly in the market place or do you believe that your product offers more functionality and will be able to warrant a premium in the market place in the fourth quarter?
Cliff Pemble, Vice President of Engineering: Ben, I think the TomTom1 is definitely a strong product. I wouldn’t put it on par with nuvi because the nuvi is still the standard center when it comes to elegance, form factor, the finished product between the two and offers much more functionality than the WON offers.
Ben Swinburne, Morgan Stanley: Okay, thanks a lot guys.
Operator: Your next question comes from Jeff Evanson from Dougherty & Company.
Jeff Evanson, Dougherty & Company: Good morning, thanks for taking my questions. Kevin, let’s talk a little bit about backlog on PND, you made that comment in your introductory remarks, that focused on a certain product, can you give us a sense of the backlog?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think it’s not focused on a specific product other than overall PND. I think as we entered the end of the fourth quarter the early indications to us were quite positive. We’ve had a good start to the fourth quarter, primarily due to high levels of backlog entering the holiday season, so that was really my intention to bring that out.
Jeff Evanson, Dougherty & Company: And this was in your finished goods inventory number here?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah, very typically what we’ve done, if you look at the last couple of years, we’ve raised our inventory levels just to plan for a larger fourth quarter season, and that is what’s going on here. In fact, our finished goods at 59 days is pretty close to right where we want to be. We want to be able to have enough inventory to respond to customers and consumer demand, and if it picks up we don’t want to miss out on any opportunities.
Jeff Evanson, Dougherty & Company: I mean, what gave rise to this backlog, is it a component shortage?
Kevin Rauckman, Chief Financial Officer and Treasurer: No, as I’ve said we haven’t really experienced any significant component shortage. I think my intention on backlog is that we enter into holiday season, many of our larger dealers and distributors get their orders then, planning for large shipments in the fourth quarter. That’s really what that entails.
Jeff Evanson, Dougherty & Company: Maybe it seems like there is a sense coming out of the investor day that revenue growth could be flat to down maybe a couple percentage points in the third quarter, and I think it was a little bit more than that, what drove that surprise, and it seemed rather September related?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think quite honestly what happened there was we did take some price actions right at the end of the quarter. So, when we ended the quarter we had price protection to some of our dealers and those are netted against gross sales, and so I think that brought down the sales level a little bit, but what I’m taking is a material number here in the big scheme of things, something like $10 million.
Jeff Evanson, Dougherty & Company: Okay, could you speak to the level of returns in the quarter?
Kevin Rauckman, Chief Financial Officer and Treasurer: Pretty consistent with what we’ve seen in the past quarters, no real change there on sales returns.
Jeff Evanson, Dougherty & Company: Okay. Moving on to market share, you never addressed what your market share change was in Europe sequentially here, what do you think happened in Europe market share in the third quarter?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah, we typically look at our own sell-in and then there are also sell-through numbers; for example, GSK has come out recently with some data that suggests from a sell-through perspective we’ve gained share in a couple of countries. I think overall our best estimate right now is still in the mid-teens as far as overall European market share.
Jeff Evanson, Dougherty & Company: Okay, and talk a little bit about PND price compression sequentially and also what you saw in terms of component costs please.
Kevin Rauckman, Chief Financial Officer and Treasurer: The ASP did come down a little bit on PND, but as you typically see it has to do with product mix.
Jeff Evanson, Dougherty & Company: Was it down to 2% to 4%, something like that?
Kevin Rauckman, Chief Financial Officer and Treasurer: From the second quarter to the third quarter?
Jeff Evanson, Dougherty & Company: Yes.
Kevin Rauckman, Chief Financial Officer and Treasurer: Probably a little more than that, yes 5% or 6% roughly, in that range.
Jeff Evanson, Dougherty & Company: Okay, and your component cost declined?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yes, I think what we’ve seen there is we’re still getting some component cost reductions, and quite honestly certain components like Flash memory have actually firmed up where we were seeing significant cost reductions earlier in the year. I think the overall industry there, much like we saw in the fourth quarter of ’05 we got to see a little bit of price increase in some cases there.
Jeff Evanson, Dougherty & Company: Okay, how many units did you ship into Europe this quarter?
Kevin Rauckman, Chief Financial Officer and Treasurer: We’ve typically have not given that number out other than the total unit numbers.
Jeff Evanson, Dougherty & Company: I think there was some of that reported to a market tracking firm so I thought maybe you would share with analysts and investors.
Kevin Rauckman, Chief Financial Officer and Treasurer: I don’t think we’ve reported any specific to any outside firm.
Jeff Evanson, Dougherty & Company: Okay, and then my last question. Cliff, could you talk a little bit about what’s going on with the LPV upgrade delay, what caused that, and do you really feel like December is an achievable approval of the 430 and 530 upgrade?
Cliff Pemble, Vice President of Engineering: Yes, as you know we’ve been working on that upgrade for quite a while. I think it was a huge task to upgrade the design from PSoC 129 to WAAS, and quite honestly it took more resources and effort than what we had estimated. As I mentioned, we have submitted all of the PSo paperwork now, so we’re over the hurdle when it comes to any issue of meeting requirements or anything like that. And now the remainder of the work is focused on flight testing and the final FAA FCC that we’re working on. So, we feel highly confident that the project is under control and we’ll be able to start delivery this year.
Jeff Evanson, Dougherty & Company: I promise my last question here. You have a number of new aviation products coming out in 2007, do you believe that the potential for FAA related delay is as high as it’s been on this LPV upgrade?
Cliff Pemble, Vice President of Engineering: Well…particularly on one of the higher visibility products which is the new 600 PSV product, so there is a lot of risk in those projects. We believe given our leadership position in integrating cockpits that we’re well positioned to be able to accomplish those, but it’s certainly not in the bag yet.
Jeff Evanson, Dougherty & Company: Okay, thank you.
Operator: Your next question comes from Ronald Epstein from Merrill Lynch.
Ronald Epstein, Merrill Lynch: Hey good afternoon. Kevin, you talked about margin compression in automotive, and when we think about modeling there, what kind of bounds can be put on it; I mean is it a couple 100 basis points or can you give it a broad feel for what you think it may be?
Kevin Rauckman, Chief Financial Officer and Treasurer: Over the next quarter, over the next year?
Ronald Epstein, Merrill Lynch: No over the next quarter and then the next year.
Kevin Rauckman, Chief Financial Officer and Treasurer: I think it’s very difficult to predict. Quite honestly we were surprised on the upside on how well we did in the third quarter, but I guess in the high end of 300 to 400 basis points is very likely.
Ronald Epstein, Merrill Lynch: Is that for the quarter or for the year?
Kevin Rauckman, Chief Financial Officer and Treasurer: For the quarter.
Ronald Epstein, Merrill Lynch: And then when we think out into next year?
Kevin Rauckman, Chief Financial Officer and Treasurer: That’s more difficult to say, I’ll need to have the crystal ball on that. My earlier comment was that we would expect generally trends to come down over time, but I’m not going to comment on how many basis points, it’s very difficult at this point.
Ronald Epstein, Merrill Lynch: Sure, and then in marine gross margin, can you talk about what happened to marine?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think what we’ve been commenting in general as we some variability quarter to quarter and in particular when we bring out new products, which we did in the marine season in the second quarter, sometimes we’ll keep some variability, and so that’s really what we saw in the third quarter on the marine side. We did take some price actions as I mentioned as we try to anticipate the next go-around, and Cliff talked about that a little bit with some products coming out. So, it’s a combination of what product mix and also some price actions that took place.
Ronald Epstein, Merrill Lynch: Okay, and then I have a question for Cliff. I think year-to-date you’ve rolled out 7 new products is that right for the year, so that means there are 23 new ones between now and end of the year?
Cliff Pemble, Vice President of Engineering: I think the number we gave was 70 for the year and we’re well on track to be able to meet and exceed that.
Ronald Epstein, Merrill Lynch: Okay, is the bulk of those in marine, are there any new PNDs going on in that?
Cliff Pemble, Vice President of Engineering: Zumo as I mentioned is just now going to mass production, so it’s a fourth quarter product, and then we have some mobile products targeted to smart phones that are coming our GPS 20.
Ronald Epstein, Merrill Lynch: Okay, and have you guys thought about doing a nuvi that’s maybe like a nuvi light?
Cliff Pemble, Vice President of Engineering: We have lots of ideas and we’re executing on all of them.
Ronald Epstein, Merrill Lynch: Okay, great thank you.
Operator: Your next question comes from J.B. Groh from D.A. Davidson.
J.B. Groh, D.A. Davidson: Hi guys. Kevin, just one housekeeping issue, what is the number of shares that you repurchased in the quarter?
Kevin Rauckman, Chief Financial Officer and Treasurer: I’m not going to give you an exact number. We had 3 million share purchase plan approved and we’re roughly about a third the way through on that.
J.B. Groh, D.A. Davidson: Okay. Then, of course you briefly mentioned Mobile 20 just from a personal standpoint, is that still going to be November availability, I’d like to buy one?
Cliff Pemble, Vice President of Engineering: Yes.
J.B. Groh, D.A. Davidson: And how should we be thinking about that? When I look at that it looks more like a software product than a device, how should we be thinking about the contribution margin for that product relative to your manufactured stuff, would you consider a traditional software margin type of a product?
Cliff Pemble, Vice President of Engineering: Well, I don’t have a significant hardware component because this basically enables any Bluetooth phone that is not already GPS enabled due to location capabilities, but it really is a full GPS receiver built into the mount. In terms of margins, this is a market much like the PND that we see a lot of competition. There are many players including a lot of small players that are very desperate to have opportunities, so the prices are actually quite low in terms of software application prices.
J.B. Groh, D.A. Davidson: Okay, so the mount actually has the receiver built into it?
Cliff Pemble, Vice President of Engineering: Yes, it does.
J.B. Groh, D.A. Davidson: Okay, thanks, that’s all I had.
Operator: Your next question comes from Peter Friedland from Soleil.
Peter Friedland, Soleil Group: Hey, that’s Peter Friedland. I have two questions. First on the breakout of your inventory, Kevin it sounds like you quoted the second quarter breakouts, the numbers are filling that up to what’s on your balance sheet?
Kevin Rauckman, Chief Financial Officer and Treasurer: No, I think I should have added that…I think you’re right, $125 million in raw materials, the days were right, 46 with, 176 in finished goods, that’s my mistake, but the days were still right; 42 days of raw, 16 of with, and 59 of finished goods.
Peter Friedland, Soleil Group: Okay, and then going back to fourth quarter of ’05, can you give us a rough breakout of the segment revenue for those quarters just so we can be a little more accurate?
Kevin Rauckman, Chief Financial Officer and Treasurer: The breakout in the fourth quarter ’05 in terms of the four segments?
Peter Friedland, Soleil Group: Yes.
Kevin Rauckman, Chief Financial Officer and Treasurer: No, we’ll talk about that at our next earnings call.
Peter Friedland, Soleil Group: Okay, and lastly, it looks your PND revenues dropped off a bit in Europe in the third quarter, probably more so in the U.S., what was the phenomenon there?
Kevin Rauckman, Chief Financial Officer and Treasurer: Pretty typically we saw the same phenomenon last year, was just sequentially down from the second quarter to the third quarter, and pretty typical we had a much stronger North American contribution as I said. There was nothing unique there I guess.
Peter Friedland, Soleil Group: Well, I guess in the context, TomTom was up a lot sequentially and if you look at the PND unit numbers reported by NASDAQ, so they were both up sequentially, how do you put that in context?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think taking into account timing of sell-in versus sell-through we had a strong second quarter, and we saw the same thing this year, August just basically builds a sell-in. It’s a big holiday for the Europeans, again really no major change or shift this year than what we’ve seen in the past third quarters.
Peter Friedland, Soleil Group: Okay, thanks.
Operator: Your next question comes from Jim Duffy from Thomas Weisel.
Jim Duffy, Thomas Weisel Partners: Thank you, hello everyone. Just a clarification question; Kevin, so the price action that you took at the end of the third quarter on the automotive units, is that where you expect prices to stay for the holiday period or do you anticipate further steps in pricing?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think what we normally do on prices is we take a major step which we did in the very beginning of October. We evaluate how the demand is coming along throughout the quarter. Often we’ll add some additional promotional activities as we get into Black Friday or if we go through toward the end of the quarter.
Jim Duffy, Thomas Weisel Partners: Okay, things like rebates and things of that sort?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yes, something like that.
Jim Duffy, Thomas Weisel Partners: Okay, and then related to the bill of materials, I think I’ve heard you say in the past that your three largest components of bill of materials on the PNDs were screens, memory, and mapping, is that still the case?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yes.
Jim Duffy, Thomas Weisel Partners: And in which of those areas do you see the most opportunity for further savings going forward?
Kevin Rauckman, Chief Financial Officer and Treasurer: Well, we hope all of that. The display is still number one on the bill of material, but it has come down significantly this year, so it’s approaching some of the actual costs of some of the other, two or three or four out from the bill of material. I guess it’s different in the cost; it used to be much greater on the display versus everything else.
Jim Duffy, Thomas Weisel Partners: So, meaning display used to be significantly more expensive than those other components and that’s now come down much more in line?
Kevin Rauckman, Chief Financial Officer and Treasurer: Right.
Jim Duffy, Thomas Weisel Partners: And then maybe you’re not prepared to talk about this, but as you look into ’07 is it appropriate to think that the aviation business could return to historical 20% plus growth rates?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think we won’t give an exact number but I believe given our results this year and what we see on the horizon and given some of the new products we talked about, yeah, absolutely we would expect a much higher growth rate on aviation. Don’t forget the Mustang, the BLJ market will be…
Jim Duffy, Thomas Weisel Partners: Yeah, that seems like a big opportunity heading into the ’07 timeframe. And then one more question if I can tuck it in, at your analyst day you put up a slide and it was third-party data I believe but forecasting PND units for both the U.S. and Europe, is that still in line with where you’re thinking the market opportunity will be or given some of the strength that you’ve seen would you expect those numbers…
Kevin Rauckman, Chief Financial Officer and Treasurer: We don’t see anything at this point on the horizon that would make us think that the high growth rates in the independent research has changed much. We still see increased unit volume demand going towards mass markets. I think the PND category is proving itself to be a very significant category, not only this holiday season but as we go into next year.
Jim Duffy, Thomas Weisel Partners: Into ’07 did those third-party numbers make sense to you or would you expect them to move one direction or the other?
Kevin Rauckman, Chief Financial Officer and Treasurer: They’ll probably move. If you recall, even as we went into 2006, those numbers have actually increased. I’m not saying they’re going to increase again, but I would expect them to move some.
Jim Duffy, Thomas Weisel Partners: Okay, thanks very much.
Operator: Your next question comes from Bill Benton from William Blair.
Bill Benton, William Blair: Good morning guys. I just wanted to check, I recall your expectations where you would get kind of 20% share in Europe by year end, I just want to make sure, is that still kind of the target?
Kevin Rauckman, Chief Financial Officer and Treasurer: It’s still our target, yes.
Bill Benton, William Blair: Okay, and then just to confirm as well, I think at one point you said that there were price cuts were reflected in maybe some of that in the revenue on the PND side in the margin at the end of the third quarter, and I think you just mentioned that price at the beginning of October, so I just want to make sure, what is currently reflected in the financial statements with regard to the price protection?
Kevin Rauckman, Chief Financial Officer and Treasurer: If it’s price protection related, because what we give to your dealers and distributors when we make price changes, if they have any inventory left in stock we have to account for how much is there and we give them a credit and take it against our financial statements. So, some of that price change that occurred right at the beginning of October we actually represented in our third quarter results.
Bill Benton, William Blair: Okay, and then in terms of your 20% growth outlook in outdoor fitness, I guess year-to-date that actually looks a little conservative with regard to your fourth quarter expectations? You guys have given out all those pieces obviously of the segments, but it does appear as though year-to-date expectations would suggest that in the trends you’re just maybe a little conservative?
Kevin Rauckman, Chief Financial Officer and Treasurer: Well, I think we’ve seen 22% year-to-date and it implies an 18% growth rate in the fourth quarter, which I think is still reasonable, maybe up a couple of percentage points, but it’s not far off given what we did last year, because we had a strong outdoor fitness season last year in the fourth quarter ’05. I think it’s reasonable.
Bill Benton, William Blair: Okay, and then on the R&D front, that had picked up quite a bit sequentially and I think you noted there was lower operating margins in the aviation side, which I suspect maybe where some of that was going towards. I’m trying to get a sense, were there one-time items in there…I think you mentioned $115 million for the year, so maybe that is sustainable level we should think about going forward?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah, I think there’s one one-time item. We’ve been continuing to recruit and as I’ve said we’ve hired 200 engineers this year and many of them have been on the aviation segment which is one of the reasons that our operating margins came down a little bit more on aviation than it did in the other segments. But, the $115 million is continuing at a 2% growth rate throughout the fourth quarter.
Bill Benton, William Blair: Okay, thanks a lot.
Operator: Your next question comes from Noelle Swatland from Lehman Brothers.
Noelle Swatland, Lehman Brothers: Thanks guys. Just one clarification and then a question if I could, can you just remind you what you said with respect to your advertising plans for the fourth quarter?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah, typically June and December quarters are the big quarters for TV advertisement, so I would expect you see a sequential increase in our advertising for the fourth quarter. I think we’ve got 1800 TV spots planned in the U.S. and we have a sizable number of TV ads in Europe, so you could see an increase in the fourth quarter.
Noelle Swatland, Lehman Brothers: Just a followup, can you give us any sense relative, like second half versus first half?
Kevin Rauckman, Chief Financial Officer and Treasurer: On advertising?
Noelle Swatland, Lehman Brothers: Yeah, and I think previously you had said it should roughly double, is that right?
Kevin Rauckman, Chief Financial Officer and Treasurer: No, I don’t believe I’ve said that. I think we’ve spent around $52 million in the first half and it will probably be $65 million or in that neighborhood in the back half. Keep in mind our advertisement is not just TV, but cooperative and print media as well.
Noelle Swatland, Lehman Brothers: Okay, and then one last question just around the third quarter shift, you had said that there were component constraints. It sounds like that has limited some of your shipments this quarter, and you had talked previously in the call about $10 million price concessions in the quarter. I think there was some thought that maybe with selling of some of your new products that could actually help the revenues again this quarter flat to up a little bit. If you look at kind of where the finished goods are and where receivables were, kind of down, it’s looks as though had changed there in September, is the market maybe weakened a little bit seasonally in the quarter than you had anticipated or was it these component constraints that kind of limited some of the upside there?
Kevin Rauckman, Chief Financial Officer and Treasurer: First of all, let me clarify, component constraints were not an issue in the third quarter. So, other than what I’ve already stated, I think Europe was sequentially down, and therefore in accounts receivable we did ship product a little bit more linear than we typically did in the second quarter for example, where we shipped a lot of products in the last month. But, I think don’t think you can really read anything else into that.
Noelle Swatland, Lehman Brothers: Okay, last question. I think in the past you had given us a total unit target for the company for ’06, could you give us that?
Kevin Rauckman, Chief Financial Officer and Treasurer: We’ve done around 3.4 million already this year, so you can probably back into what our unit number is, maybe a little bit north of that.
Noelle Swatland, Lehman Brothers: All right, thanks.
Operator: Your next question is a followup question from John Bucker from BMO Capital Markets.
John Bucher, BMO Capital Markets: Thank you very much. At the analyst day you indicated that you were spending more time on acquisitions or scouting out prospective acquisitions, anything to report there, we haven’t heard anything since then, did you have some deals that fell through? And then the last question, on your hosted services that you’re providing for Sprint, I recognize that no matter what sort of trend changes you saw there, it’s going to be a small percentage of the overall revenue, but can you talk about any trend changes on the hosted side and whether you’re still actively involved promoting this?
Kevin Rauckman, Chief Financial Officer and Treasurer: I’ll address M&A and then I’ll have Cliff talk about the hosted services question. I think in any kind of evaluation mode you’re always going to have some deals come and some deals fall off. So definitely we’ve had some that we’ve evaluated and haven’t worked out, but we definitely have other transactions that we’re looking at. So, there’s not a whole lot to report there, but if there are any news we will bring it to your attention.
Cliff Pemble, Vice President of Engineering: John, we are seeing some uplift in terms of our mobile application subscription rate, but as you pointed out, it’s still a very small phase, so I wouldn’t read anything into that in terms of revenues, but through some focused efforts we’ve been able to partner with Sprint in their promotional programs and things like that. In terms of promoting it elsewhere, yes, we’re working on actively promoting it both domestically as well as internationally.
John Bucher, BMO Capital Markets: Thank you very much.
Operator: Your next question is a followup question from Ben Swinburne from Morgan Stanley.
Ben Swinburne, Morgan Stanley: Thanks guys for taking this followup. I just wanted to come back to the third quarter PND numbers. In Europe it looks like you had indicated earlier in the quarter that the share was sort of flat for you guys, maybe even increasing, and that seems to be the evidence we’ve seen from various industry sources. Did the category sales levels come in the third quarter a little lighter than you would have thought overall? I know we’re all sort of triangulating a bunch of different data sources to get there, but even if I adjust for the $10 million price protection, Kevin, it still seems like the PND revenues were a little lower than where I would have thought and that may have been a September issue?
Kevin Rauckman, Chief Financial Officer and Treasurer: Are you talking about overall or just in Europe?
Ben Swinburne, Morgan Stanley: In Europe.
Kevin Rauckman, Chief Financial Officer and Treasurer: Again, I can’t say it any other way. I don’t think we were surprised at what happened in Europe because we typically see a reduction sequentially for the second quarter to the third quarter, so basically the same answers what I gave earlier.
Ben Swinburne, Morgan Stanley: Do you think your share increased sequentially from the third quarter to the second quarter in Europe?
Kevin Rauckman, Chief Financial Officer and Treasurer: That’s a harder one to determine. I think you’ve got to triangulate based on sell-in and sell-through, but we still feel that we retained if not maybe raised a point or two on the sell through in Europe in the third quarter.
Ben Swinburne, Morgan Stanley: Okay, thank you.
Operator: At this time I would like to remind everyone, if you wish to ask a question press * and then the number 1 on your telephone keypad now. We’ll pause for just a moment to compile the Q&A roster. Your next question comes from Rich Valera from Needham and Company.
Rich Valera, Needham & Company: Thank you. Cliff, I was wondering if you could comment on your thoughts on the Nokia 330 which was just announced, any thoughts on the positioning of that product in Europe, sort of price and functionality?
Cliff Pemble, Vice President of Engineering: So, the product definitely offers capability that’s different than what we marketed. It is a larger product…price wise it’s on the expensive side where the market is currently at. So, generally again, we always like to say that we don’t underestimate competition at this moment, and that’s always really…
Rich Valera, Needham & Company: Kevin, in the outdoor fitness categories, we don’t have the year-over-year comparison there for the fourth quarter, is there anything you could say about the expected sequential trajectory of the third quarter to the fourth quarter in outdoor fitness?
Kevin Rauckman, Chief Financial Officer and Treasurer: It’s similar in trend or direction to auto/mobile, those are the two segments that sequentially will go up from third quarter to fourth quarter, but I would expect it in the 15% to 20% range sequentially up.
Rich Valera, Needham & Company: Okay, that’s helpful, thank you.
Operator: Your next question comes from Peter Barry from Bearn Stearns.
Peter Barry, Bear Stearns: Good afternoon. Kevin, you mentioned in your remarks that the retail pipeline looked pretty clear, you have pretty decent visibility in that regard, could you give us a sense of how it looks relative to this time a year ago, are there any similarities, any significant differences that you’ve seen or fearful of?
Kevin Rauckman, Chief Financial Officer and Treasurer: When we look at backlog and some of the trends and scratch proof types information we’re hearing back from the dealers and distributors, it’s very similar to last year. I think we’re expecting a significant sequential uptake in revenues and products appear to be very well received and moving through the channel pretty quickly. So, I frame it as pretty similar to last year.
Peter Barry, Bear Stearns: And did the sell-in last year give you a pretty decent read on what the sell-through eventually was?
Kevin Rauckman, Chief Financial Officer and Treasurer: That’s a more difficult question. It’s not 100% accurate, but in general we have pretty good information of selling in sell-through from the major retailers, specifically in the U.S. that it is in Europe. We’re getting better data as I think we move forward in the European markets.
Peter Barry, Bear Stearns: But in any event the demand environment looks to be good if not better than it was a year ago?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think it’s very similar, yes.
Peter Barry, Bear Stearns: On the ASP front for PNDs, could you give us a sense of what you’re looking as you look out over the remainder of this year and just as importantly if you will in ’07, what the pricing climate might look like both in North America and Europe?
Kevin Rauckman, Chief Financial Officer and Treasurer: Well I think the ASP is a little bit of a misnomer because of the fact that we’ve got over 100 different products and in the PND market we have several different price points as you know. I think if you take a look at the ASPs on equivalent products like the C330 that’s been selling for almost two years now, we see price declines of around 25%. The other factor is we have brand new products like the nuvi 660 that we’ve spent some time on. I mean a brand new product has a higher price point, and those all reflect into our overall ASP within the business, so we definitely have product mix that would impact that ASP number. Europe in general is probably 20% below the pricing in the U.S. for North American markets.
Peter Barry, Bear Stearns: Now, your comments, the $332 ASP captures a blend of the entire product line, correct?
Kevin Rauckman, Chief Financial Officer and Treasurer: That is correct.
Peter Barry, Bear Stearns: So relative to that number, are we looking at 5% of 10% assumed declines over any 12-month period of time?
Kevin Rauckman, Chief Financial Officer and Treasurer: Well, I think we’ve seen a similar number to that, as I think I’ve commented on earlier, not only in total but at the automotive mobile. As you look at the PND at 60% roughly of our total business, that’s what is driving auto there. I think these overall are coming down but I don’t think you should put too much stock in one blended ASP. You really have to look at overall pricing in each of the four business segments.
Peter Barry, Bear Stearns: Okay, final question from me. Ad spending, given the influx is meaningful competitors on the PND front and certainly the seasonal factor, your $55 million in the second half gives you about 6.2% ad spend to revenues versus 7.7% in the second quarter last year, should we read anything into that? I mean advertising and brand building are still a very high priority I assume?
Kevin Rauckman, Chief Financial Officer and Treasurer: Absolutely, I mean if we’re going to spend over $115 million in advertising this year that’s significantly higher than a year ago, so we’re definitely in the brand building mode.
Peter Barry, Bear Stearns: Okay, that’s it for me, thank you very much.
Operator: Your next question comes from Adam Benjamin from Jefferies and Company. That question has been withdrawn. Your next question comes from Annette Blackwell from Whitman Capital.
Doug Whitman, Whitman Capital: Hi, this is Doug Whitman from Whitman Capital with Dave. I’m a little confused on the inventory question and going back, so if you could just give us a little clarification on the third quarter inventories. We’ve got total inventories of 33.5 and obviously would be happier if the days are lower. I’m just a little confused because I’ve got 145 days, are we missing something here in the way you guys compute inventory days?
Kevin Rauckman, Chief Financial Officer and Treasurer: I don’t know how you calculate. We typically look at a 12-month rolling forecast and we look at forward looking and not backward looking, because obviously the inventory we have on hand is to support future growth. and when you’re in a growth business like we are selling 64% to 65% a year it doesn’t make sense to look back. I don’t if that’s the difference.
Doug Whitman, Whitman Capital: So, you’re not using normal accounting, you’re using kind of a growth projection?
Kevin Rauckman, Chief Financial Officer and Treasurer: I don’t know if that’s normal accounting but there two different ways to look at days of inventory, backward or forward. Again, to my earlier point, we look at forward looking because it’s supporting future growth.
Doug Whitman, Whitman Capital: Okay, so when you run the company you look at what you expect your outlook to be when you build your inventories?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah.
Doug Whitman, Whitman Capital: Okay, thank you for the clarification.
Operator: Your next question comes from Rob Sanderson from American Technology Research.
Rob Sanderson, American Technology Research: Hi, good morning, thanks for taking my question. A couple of quick housekeeping and followups; on the housekeeping side, did you provide a unit number in the automotive segment, I think I may have missed that if you did?
Kevin Rauckman, Chief Financial Officer and Treasurer: No, we didn’t, I’m sorry Rob.
Rob Sanderson, American Technology Research: Is that something that you can provide?
Kevin Rauckman, Chief Financial Officer and Treasurer: We’ve never given segment unit data.
Rob Sanderson, American Technology Research: Okay, that’s fine. Then on the taxes, just thinking about next year, I think last quarter there was some discussion about 19% maybe being a good longer term target, do you think that’s a good estimate to be using for ’07 at this point or do you think it might be a little lower than that, what are your thoughts on taxes?
Kevin Rauckman, Chief Financial Officer and Treasurer: I wold say overall a little bit lower. We have seen a few tax changes in some of our legal entities but I would say 15.5% will be increasing next year, and I would probably put it closer to 17%, maybe 18%, but not as high as 19%.
Rob Sanderson, American Technology Research: Okay, and maybe 19% is good for longer term in the out years or something to that effect, thanks. Just some questions on channel, your comment on retail channel inventory being lean, how regularly do you get updates from your distribution and retailers, is that something that’s a sort of grass root effort or is there more of a formalized way to get a view on visibility into the channel and sell-through?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah, I think depends on the retailer, anywhere from daily to monthly depending on who we talk about. Some of these are very formalized reports that we can go and get, and others we have to more of a grass roots kind of discussion. So, I think we have pretty good visibility especially in the larger types of questions.
Rob Sanderson, American Technology Research: Okay great, that’s helpful. And then finally on channel development effort in Europe, how far along would you say you are into that initiative? I know it’s been a big working progress and you’re showing some good success there, but how far along would you say you are, and then what kind of share do you think would be a reasonable target into ’07 in the European markets?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think we’ve stated in the past, I think we still firmly believe that we should have a higher market share in Europe than we do today. So, if we’re targeting 20% by the end of the year going out of the year we want to see higher going forward. Obviously, I’m not going to quote a specific number, but I think in some cases we made progress in some of the European countries, because you know Rob they are so fragmented and I think we’ve seen that some countries that have done better recently and others that have done worse. So, I guess our goal is to try to improve it across the board in terms of channel fill and channel strategy.
Rob Sanderson, American Technology Research: It’s really to hit the big geographies and the big retailers and distribution first and then fill out as you go, so would you say you’re 75% to 80% of the way there in terms of getting the relationships going in the key markets or is there still further to go in the penetration?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think there’s further to go into penetration.
Rob Sanderson, American Technology Research: Thank you very much guys.
Operator: Your next question comes from Anthony Murabito from Fidelity.
Anthony Murabito, Fidelity: Hello gentlemen, I have a more fundamental question. I’m pleased with the great numbers and everything, but I’d like some explanation as to why the stock is down over 14% this morning and the volume sales are over five times normal, does somebody know something that we all don’t?
Kevin Rauckman, Chief Financial Officer and Treasurer: That’s a good question. I think we are pleased with the results. I think expectations were higher than what we’re posted as far as results. For the second and third quarter in a row we’ve exceeded EPS expectations and raised guidance, so I don’t know if I can comment any further on that.
Anthony Murabito, Fidelity: There’s no explanation for what’s happening this morning?
Kevin Rauckman, Chief Financial Officer and Treasurer: I don’t believe we’re the right ones to ask, I think you’ve got to talk to the people moving the market.
Anthony Murabito, Fidelity: Okay, thank you.
Operator: Your next question from Cass Turner, Traffolyte.
Cass Turner, Traffolyte: Hi guys. I’ve been looking at your fourth quarter guidance and I understand the incremental spin in the SG&A line, but it appears there’s a decline in the operating margin, is that something that will continue through 2007?
Kevin Rauckman, Chief Financial Officer and Treasurer: If you look at what we’ve implied in terms of operating margin, we’re still looking at a 29% operating margin for the year, but we’re also planning on a lower gross margin as a percentage basis in the fourth quarter. Now whether that will continue is very difficult to predict, but I think it has to do with the auto/mobile segment and overall margins there. So, most of the operating margins again would be related to the gross margin line; I think the operating expenses will come in pretty close to flat on a percentage of sales.
Cass Turner, Traffolyte:
Kevin Rauckman, Chief Financial Officer and Treasurer: We haven’t commented on that, but I don’t have any reason that they wouldn’t because we’re still expecting solid growth in many of our segments next year. We haven’t given any specific 2007 guidance at this point.
Cass Turner, Traffolyte: Okay thank you.
Operator: Your next question comes from Brian Modoff from Deutsche Bank
Brian Modoff, Deutsche Bank: Yeah, coming back to the inventory again, in terms of your finished goods, can you give us any idea where the significant increase is, is this mainly PNDs and the outdoor or are there some other parts of the business, and can you break it down for us a little bit in terms of what areas were subject to the largest increase?
Kevin Rauckman, Chief Financial Officer and Treasurer: PNDs and outdoor, you got it; I mean it’s mostly PND.
Brian Modoff, Deutsche Bank: Were the bulk of the sequential increase?
Kevin Rauckman, Chief Financial Officer and Treasurer: Yeah.
Brian Modoff, Deutsche Bank: And this is driven by orders from customers or anticipated orders?
Kevin Rauckman, Chief Financial Officer and Treasurer: Both, real orders and anticipated orders.
Brian Modoff, Deutsche Bank: Okay, thank you.
Operator: Your next question comes from Adam Benjamin from Jefferies and Company.
Adam Benjamin, Jefferies & Co: Thanks guys, sorry about that before. I just had a question about the StreetPilot C300 series, that still remains a pretty significant portion of your PND business, and I’m just curious what the impact of that is as that gets phased out in terms of the gross margin line, and then when do you expect that to kind of fully phase down and ramp out? Thanks.
Kevin Rauckman, Chief Financial Officer and Treasurer: Well the C series of the C330 in particular is pretty much phased out already in Europe and it will be phasing out I think over the next several quarters in the U.S. Clearly, it has relatively margins compared to higher price points, so that’s not…the overall PND margin line.
Adam Benjamin, Jefferies & Co: Would you be able to comment just as a percentage of your total PND mix, what it represents today and where you expect it to be at the end of the year?
Kevin Rauckman, Chief Financial Officer and Treasurer: I will just comment that the nuvi is our number seller and we expect it to continue to be the number one PND product as we go forward, but I’m not going to comment on the futures.
Adam Benjamin, Jefferies & Co: Great, thanks.
Operator: Your next question comes from Willy Tomas from Wang Chow Investments.
Willy Tomas, Wang Chow Investments: Hi guys, just a couple of questions. Can you just talk about the margin differential just so I can try to get an understanding of how that impacted your margins?
Kevin Rauckman, Chief Financial Officer and Treasurer: I think relatively speaking, I mentioned earlier roughly 15% to 20% below on price, and there is a different mix of product, as I said the C series has basically gone away. We sell several different price points of the nuvi in Europe. So, overall, it’s definitely lower margin but I’m not going to be able to give you an exact number of how much lower for Europe or North America.
Willy Tomas, Wang Chow Investments: Okay, that’s all I had, thank you.
Operator: Your next question comes from Kalpesh Kapadia from C.E. Unterberg.
Kalpesh Kapadia, C.E. Unterberg: Hi gentlemen. Talking about price elasticity, you mentioned that this market is very price elastic and your largest competitor has taken proactive price action, and from what I hear form you is that you reacted in the third quarter being the market leader. Agreed that nuvi has nine different features and that you’re selling on features, but TomTom1 with one single feature that is most important in navigation is priced right, what are you strategies to tackle that with some sort of nuvi light or that kind of product?
Cliff Pemble, Vice President of Engineering: Well, Kalpesh we actually reduced the price of nuvi in Europe so that it is on par price wise, and there’s really no difference there at all. We still believe that nuvi is a stronger product, offers more features and easier to use and is offered at the same price.
Kalpesh Kapadia, C.E. Unterberg: So, how do you see the segmentation in terms of pricing in the U.S., which is your strong hold? Are you going to take proactive action and price your product and segment them correctly, or are you going to react to TomTom again?
Cliff Pemble, Vice President of Engineering: No, I think the market in the U.S. is not as chaotic as in Europe. As we are the brand leader in the U.S., we offer a broad range of products at multiple price points, premium categories, so we have a very comprehensive presence here in the U.S.
Kalpesh Kapadia, C.E. Unterberg: And next question is on C330, there was a question asked earlier, you have 5 series products, C500 series products that are pretty similar to C100 products, so why won’t you phase the 3 series and then just focus on the 5 series which is pretty similar in features and form factors?
Cliff Pemble, Vice President of Engineering: Well, actually that’s not correct. The 5 series does have more features than the 3 series…there is feature differentiation. The C330 has emerged as the value leader in the market…
Kalpesh Kapadia, C.E. Unterberg: Where do you see the price elasticity in the market with different price points, a $500 PND device, a $300 or $200, what is the magic price point for this Christmas in the U.S.?
Cliff Pemble, Vice President of Engineering: That’s a good question. I think most of our experience at this point is under $500 in terms of being the increased volumes there. At this point, I don’t where it’s going to go and the prices will continue to trend down over time, so I don’t think…
Kalpesh Kapadia, C.E. Unterberg: Thank you.
Operator: Your next question comes from Steve Windward from Pacific Crest Securities.
Steve Windward, Pacific Crest Securities: Good morning, two questions. First of all with regards to channel inventory, can you talk a little bit of how it changed sequentially from the second quarter to the third quarter, did it actually decline on a weekly sell through basis or how you guys measure that? Secondarily, looking at the value added features of the PND device, namely real-time traffic information, price information with regards to fuel, what kind of level of interest are you seeing in that feature set? Thanks.
Kevin Rauckman, Chief Financial Officer and Treasurer: When we had exited the second quarter we had introduced several new PND products in particular, so I think we probably had sell-in of the channel. I wouldn’t categorize it as significant, but I would say in general that they have been a bit more of channel inventory, nearly all of the new products. And I think the North American markets particularly sold very well in the third quarter and I think the channels were pretty clean as we exited in the third quarter and as I mentioned earlier we have strong backlog going into the fourth quarter. I think Europe, because of its sequential decline from the second quarter to the third quarter, I think we ended the quarter also with pretty clean inventory in the channels.
Steve Windward, Pacific Crest Securities: Do you target a certain number of weeks that you’re looking at in terms of product on shelves?
Kevin Rauckman, Chief Financial Officer and Treasurer: At the retailers, no; I mean every retailer distributes a little bit differently. We work with each one individually to find out what they require.
Cliff Pemble, Vice President of Engineering: For your question on traffic, we definitely see growing interest in traffic information delivered to the device. As I mentioned in my remarks we offer comprehensive solutions for our products across the range both in the U.S. and Europe. For example, in the U.K. we offer it newly with a lifetime traffic subscription and in France it’s the same story. Here in the U.S. our C550 as well as our nuvi 660 offer built in traffic receiver and definitely we see it as a differentiator in the market and customers are stepping up.
Steve Windward, Pacific Crest Securities: Any signs of uptake of device penetration range?
Cliff Pemble, Vice President of Engineering: That’s a little bit hard to say. In Europe, in the couple of cases I mentioned, the traffic is bundled with the unit and the lifetime, and several countries in Europe the traffic is free. So if you have a traffic receiver, the customer can always receive that. Here in the U.S. it is a subscription based model and so far most of our products that have been delivered to the market are still operating under a free bundled service for 90 days. So, we don’t have a firm sense yet, but we do see that customers are asking for it and willing to step up to buy this product and to receive the bundles in.
Steve Windward, Pacific Crest Securities: Fair enough, thank you.
Operator: There are no further questions at this time.
Kevin Rauckman, Chief Financial Officer and Treasurer: Thank you everyone for your questions. I think this ends the call. We look forward to updating you as usual at the end of 2006. Take care and bye.
Operator: This concludes today’s conference call, you may now disconnect.